Operator: Good day, and welcome to the Crexendo Second Quarter 2017 Earnings Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Chief Executive Officer, Steve Mihaylo. Please go ahead.
Steve Mihaylo: Thank you, Melissa. Good afternoon, everyone. I am Steve Mihaylo, Chairman and CEO of Crexendo. I want to welcome all of you to the Crexendo second quarter 2017 conference call. With me today are Doug Gaylor, our President and COO; Ron Vincent, our CFO; and Jeff Korn, our General Counsel. I am going to ask Jeff to read our Safe Harbor statement. After that, I will give some brief general comments relative to the quarter and year-end. Ron will then provide some granularity to the numbers, Doug will provide a business and sales update, and then we will open the call up to questions. Jeff, would you please provide the Safe Harbor statement?
Jeff Korn: Yes, thank you, Steve. I want to take this opportunity to remind listeners that this call will contain forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for such forward-looking statements. All statements made in this conference call, other than statements of historical fact, are forward-looking statements. Forward-looking statements include, but are not limited to, words such as like, believe, expect, anticipate, estimate, will and other similar statements of expectation identifying forward-looking statements. Investors should be aware that any forward-looking statements are based on assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from those discussed here today. These Risk factors are explained in detail in the Company’s filings with the Securities and Exchange Commission, including the Form 10-K for the fiscal year ended December 31, 2016 and the Forms 10-Q for 2017 as filed. Crexendo does not undertake any obligation to publically update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I’d now like to turn the call back to Steve. Steve?
Steve Mihaylo: Thank you, Jeff. Before we continue here, I would like to correct one thing. I said give you some brief general comments relative to the quarter and year end, I meant relative to the quarter and the six months ended June 30, 2017. With that I’ll continue. Our sales continued to be strong. Our Cloud Telecommunications service segment revenue for the six months ended June 30, 2017 increased 27% to $3.7 million compared to $2.8 million for the six months ended June 30, 2016, that increase is very impressive. And it’s the second quarter in a row we have double digit quarterly growth year-over-year. On a GAAP basis, the Company reduced its net loss from $0.12 per share to $0.06 per share diluted common shares for the six months ended June 30, 2017. I am highly encouraged that we could cut our loss in half. This is in line with our internal plan towards reaching cash flow breakeven and profitability. This is the second quarter in a row we have been able to cut our year-over-year GAAP loss in half. Another very important factor is the way we manage cost. Consolidated operating expenses for the six months ended June 30, 2017 decreased 8% to $5.6 million compared to $6.1 million for the six months ended June 30, 2016. This is highly impressive, particularly when compared with our substantial sales growth. The change in the sales management, I discussed last quarter, beginning to show results. We made significant sales management and sales rep changes. Those changes should continue and have a positive impact on sales, going forward, and allow us to accelerate our growth. The partner channel continues to grow. We’re adding very highly qualified partners, and I have high expectations that sales from our partners will show significant increases. Backlog continues to grow. All the metrics we used to manage and review the business have been positive. We also continue to put out the best products and services. We continue to provide the top unified communicator as a service solution out there. As you may well know, the Crexendo call center solution has received 2017 communications solution product of the year award. This is the second year in a row we have won this award. We continue to update and improve even our award winning products. We have won awards for our services, our products, and I believe this shows that, even with keeping a tight lid on cost, we never skimp on quality. I’m convinced that Crexendo provides best services and products in the industry. Our solutions can save most customers a substantial amount of money, while at least maintaining or improving the quality of service they have. We are working to be more efficient in packaging our services. As I said, unified communications as a service or you see AAS provider. This is the future of the industry and Crexendo is already there. We will work to make clear to our potential customers that Crexendo is their one-stop shop where we provide all the unified communications needs. Our goal is to lead the industry on innovation. I’m convinced our sales will continue to increase. We will continue to manage our costs effectively and we will run the business to the high degree of efficiency. I continue to believe that we will reach cash flow breakeven and GAAP income in 2017. This business is continuing to grow and improve. I think our story is an increasingly -- a very interesting story and we are beginning to attain investor confidence. The first conference we are attending in 2017, Rodman and Renshaw’s Annual Investment Conference in New York, taking place September 10th through the 12th. We look forward to bringing the Crexendo Ride The Cloud story to our wider audience. I believe -- I continue to believe in our Company and we will continue to grow the business through our sales force and our partner channel. We’re always reviewing appropriate creative opportunities, and we believe if the right opportunity comes along that there’ll be a way to further accelerate growth. I continue to be a believer, a strong believer, in the future of Crexendo. With that, I turn the call over Ron. Ron?
Ron Vincent: Thanks, Steve. Our consolidated revenue for the second quarter of 2017 increased 10% to $2.5 million compared to $2.3 million reported for the second quarter of the prior year. Approximately 89% of the revenue for the quarter was attributed by our Cloud Telecommunication segment, which contributed $2.2 million for the quarter. That’s an increase of 15% compared to 1.9% contributed for the second quarter of the prior year. Service revenue for the second quarter of 2017 increased 19% to $2.2 million compared to $1.8 million reported for the second quarter of the prior year. Our product revenue for the second quarter of 2017 decreased 30% to $303,000 compared to $430,000 for the second quarter of the prior year. Quarterly product revenue can fluctuate significantly from quarter to one quarter to the next. Product revenue is deferred until installation is complete and services commenced. Our average customer has installed within weeks of completing the sales cycle, large enterprise sites, multi-location customers can take several months to install depending on the number of locations and complexity. And delay in product revenue until recognition into final location is installed, results in spikes -- this can result in spikes in our product revenue recognition. Year-to-date, consolidated revenue increased 9% to $4.8 million compared to $4.4 million reported for the same period of the prior year .The Telecommunications segment contributed 89% or $4.3 million of the consolidated revenue for the six month period ended June 30, 2016. Our service revenue increased 16% to $4.3 million compared to $3.7 million for the same period of the prior year, and product revenue decreased 25% to $582,000 compared to $781,000 for the same period of the prior year. We continue to watch every dime. Our consolidated operating expenses for the second quarter of 2017 decreased 10% compared to $3 million reported for the second quarter of the prior year. Year-to-date, consolidated operating expenses decreased 8% to $5.6 million compared to $6.1 million for the same period of the prior year. Our net loss decreased $497,000 or 67% to $281,000 for the second quarter of 2017 or $0.02 loss per diluted common share compared to a net loss of $778,000 or $0.06 loss per diluted common share for the second quarter of prior year. Year-to-date, net loss decreased $822,000 or 50% to $824,000 for the six month period ended June 30th. That’s a $0.06 loss per diluted common share compared to a net loss of $1.6 million or $0.12 loss per diluted common share for the same period of the prior year. On a non-GAAP basis, we reported a net loss of $91,000 for the quarter or $0.01 loss per diluted common share. That’s compared to a non-GAAP net loss of $279,000 or $0.02 loss per diluted share for the second quarter of the prior year. Year-to-date, I think we reported a non-GAAP net loss of $502,000 or $0.04 loss per diluted common share when compared to a non-GAAP net loss of $1.1 million or $0.08 per diluted common share for the same period of the prior year. EBITDA for the second quarter was a loss of $217,000 compared to a loss of $699,000 for the second quarter of the prior. Adjusted EBITDA for the quarter was a loss of $85,000 compared to a loss of $269,000 for the second quarter of the prior year. EBITDA for the six months ended June 30th was a loss of $740,000 compared to a loss of $1.6 million for the same period of the prior year. Adjusted EBITDA for the six months ended June 30, 2017 was a loss of $525,000 compared to a loss of $1.1 million for the same period of the prior year. Our total cash and cash equivalents, excluding restricted cash, at June 30th was $929,000 compared to $619,000 at December 31, 2016. During the period, we used $143,000 of cash property in activities for the six months ended June 30th compared to $710,000 we used for the same period of the prior year. Cash provided by investing activities for the six months ended June 30, 2017 was $252,000 compared to $11,000 for the same period of the prior year. During the period, we sold $252,000 worth of Certificate of deposits. Cash provided by financing activities for the six months ended June 30, 2017 was $201,000 compared to $125,000 for the same period of the prior year. During the period, we received proceeds from stock option exercises, totaling approximately $166,000. With that, I’ll turn it over to Doug Gaylor, our President and COO to discuss our sales results for the quarter.
Doug Gaylor: Thanks, Ron. We had a good quarter in Q2 with increases in total revenue, telecom revenue, new bookings, backlog and gross margins, while at the same time, decreasing our operating expenses and losses as we get close to cash flow breakeven and profitability. The sales personnel changes that Steven mentioned and the additions that we made at the end of Q1 had a positive impact during Q2 and that is reflected in our new sales bookings for the quarter. We are excited about the future with our new team members continuing and increasing their contributions. As we continue to fine tune our business, we’re seeing the very positive results that we believe we could achieve. The increase in our gross margins on telecom to 64% in Q2 along with a decrease in our operating expenses of 10% compared to Q2 2016 has allowed us to get extremely close to cash flow breakeven and non-GAAP profitability. We expect these trends to continue, going forward. Our partner channel continues to grow and expand as more organizations are signing up to sell our great product offering. We added 18 new partners in Q2 with many of them already contributing sales bookings shortly after their on-boarding and training. Our partners continue to sell larger multi-location sales, which helped contribute to 5% increase in new sales bookings from the partner channel over the previous quarter. As we continue to train and onboard these new partners, we expect their contributions to improve. Our direct sales efforts also saw an increase in quarter-over-quarter sales as our new additions to the sales team complemented the efforts of our tenured directs sales reps. Working on specific verticals and targeting strategic accounts continues to be the focus for our direct sales team, and our increased sales combined with our partners, improved sales numbers, helped increased our contracted backlog by 7% during the quarter and 17% compared to June 30, 2016. Our product offering continues to improve and our in-house engineering team has done a great job enhancing our platform as evidenced by our Crexendo contact center solution being awarded the 2017 Communications Solution Product of the Year award that we received in July. This is the second consecutive year that Crexendo has been recognized for our outstanding Ride The Cloud platform, and this is also the fourth award that we have received for our Crexendo solutions in last 12 months, further highlighting the strength of our platform. All of these positive trends have helped reduce our cash used for operating expense by 80% year-over-year and helped reduce our non-GAAP losses by 55% over the same period of time. With these consistent improvements, I am confident that we are on the verge of cash flow breakeven and GAAP profitability. We are encouraged by our results in Q2, and we are confident that our revenue growth will continue to accelerate. Our products and solutions are some of the strongest in the industry. And as we continue to see increases in new customers that recognize the strength of our offering through our direct and partner channels, we will be poised for future growth and profitability. I’m more confident than ever that we’re on the right track, and I’m very excited to continue to execute our business plan for growth, cash flow and profitability. I will now turn it back to Steve for any additional comments.
Steve Mihaylo: Thank you, Doug. I’d like to congratulate everyone on the team for doing a superb job. Our people are clicking on all eight cylinders here, and we look forward to next quarter. With that Marisa, I’ll open it up to questions from the people that are on the conference call.
Operator: Thank you [Operator Instructions]. And we’ll take our first question from [Ken Cayman].
Unidentified Analyst: I’m going to start with an observation, and then a question. It appears as being a long term shareholder that the Company really is turning the corner here. I mean the numbers not only are moving in the right direction, cash is moving up, your expenses are going down. So I guess kudos to you and the team for doing it. And I guess maybe I’m reading into it that you’re now going to go to a conference in New York, so tell them the story, as maybe your perception that it’s really turning the corner. With that said and you can comment on that, if you want. But if you could explain a little bit more to me about the in-house sales channel versus the partner channel, what you’re seeing from them. And maybe in less of a numbers way, but more of a narrative way talk about what’s the difference between them and what the partners are doing as opposed to your in-house channel?
Steve Mihaylo: Absolutely, and thank you. First, I’m going to comment on your thought about us going to the conference in New York. You’re absolutely right on. We now have the confidence to share our story with the rest of the world. So we’re going to be actively going to conferences at least two or three, next year, after we do the Rodman conference. As far as our direct sales versus our channel, our channel is growing at a much faster cliff. I’m actually going to let Doug Gaylor comment on this, because he is right in the set of things. Doug, could you handle that one?
Doug Gaylor: So to differentiate between the two, our partner channel is really going out and getting likeminded business partners out there that have organizations with sales individuals already out on the street. And so when we look at our business partners, our business partners are a combination of traditional telecom interconnects, which are telecom companies, selling telephone systems, data bars, managed service providers and other business-to-business type sales organizations. So our focus there is going out and finding business partners that are looking for new and improved revenue streams that involve the cloud. And in most cases, we’re the perfect fit for them, because we have a very lucrative compensation plan for those partners. And for those partners, for the right partners, it’s really a matter of going out to their existing customer bases and having them work a already known entity, which is their customer and giving their customer a better solution for their telecom offerings. Most of the time with our partners, they’re going out to that low hanging fruit, which is their existing customer base. And they’re allowing their customers to see significant cost savings and more efficient more productive feature functionality of the Crexendo platform. That, in comparison to our direct sales; we started out with direct sales three years ago; 100% of our sales are coming out of the direct side with no percentage coming out of the channel side. Now, that channel is dominating our sales contributions, but our direct side is still very tenured organization. And they are really focusing on the day-to-day going out and meeting with customers. Mainly in their local markets, we’ve got representatives in number of different cities. And they’re going out and working with existing customers or finding new customers and again, selling them on the same benefits that Crexendo brings to the table. But, as we look at our future growth, we will continue to see a good mix of sales coming from our direct channel, as well as significant increases coming from our partner channel, as we increase the number of partners more and more quarter-over-quarter.
Unidentified Analyst: So, just to follow up on partner channel. They are already selling these types of services and your thesis is that you are not only better which awards which seems so you have a good product there, but that your compensation structure starts squeezing out the other people that they are representing to make them represent you better more than others?
Doug Gaylor: Yes and no. So, quite a few of our partners can -- don’t any telecom services today. So, when I talk about data bars and I talk about managed service providers and I talk about other business to business type organizations out there, a lot of those organizations don’t have a telecom offering and they’re stable today. And so, we make for a great offering because we are their one and only telecom play. The traditional telecom interconnects that already have maybe a premise-based solution or two premise-based solutions and don’t have a cloud offering or have a premise-based solution and a cloud offering and are looking for a better solution, those are good partners as well. But, I would say, our higher success rate is with the non-telecom offering partners, because we don’t have to compete for their business on a daily basis. We do a great job, but we don’t have to go in there and supplant the relationship that maybe they have already in place for many, many years. So, if we look at our success with our partners, we have good success out of our telecom partners but we have even better success with our data bars, our MSPs and our other business to business providers.
Steve Mihaylo: Let me just add a little bit to that. I’m going to reiterate what Doug said about the channel growing faster than the direct sales. And that’s really a function of putting bigger and better partners on with more and more feet on the street. So, that’s one of the reasons why they’ll grow a little bit -- well, not a little bit faster but a lot faster. We would hope to keep our direct sales at about 20% or 25% of sales for a couple of reasons. Number one, it helps us dealing directly with the end user, and we learn an awful lot, which we bring out additional features, based on what these folks want. And that helps us understand the market better. So, you are going to see both channels grow the direct channel and the indirect channel, but the indirect channel will be growing faster. Any additional questions, Melissa?
Operator: We will take our next question from Kevin Dede with Rodman.
Kevin Dede: I have got a couple of things for you. Doug, could you quantify the number of sales folks that you have, and maybe the number of partners that you have, and speak to the changes that you’ve made to the first half of the year, more specifically?
Doug Gaylor: Sure. So, as we look at our partner channel, our partner channel continues to increase. We have got in a range about 175 partners today, and of those partners, some of them are new and just starting to get their feet wet. We have got other partners that have been with us for quite some time and have continued success month over month. So, as we continue to grow our partner channel, as you heard on my comments earlier, we added 18 partners in the quarter. So, when we add 18 partners, some of those partners may have a few sales people feet on the street, other partners may have 15 or 20. Now, it’s still a matter of trying to get that mind share with those partners. So, when they are selling other products and other offerings, even a data bar or managed MSP or a network provider, they are usually comfortable selling their product offering that they have in their stead first and foremost. And so, even though we add telecom, when we get them trained and get them excited, it’s a little bit of a learning curve for them to add a new product to their portfolio, new language and lingo of the industry when they are out dealing with customers. So, there is a little bit of a ramp up time for new partner to come on board. Our existing sales team, our direct sales team, currently we have right at a dozen direct sales reps, so they are selling to our end user customers. And those sales reps who are selling everything from small standalone opportunities to a multi-location, larger enterprise opportunities. Our direct folks are usually fairly tenured in the industry, so they’ve got experience selling directly and they’re going out there and targeting customers whether it’s through specific verticals or a specific strategic customers that we’re targeting or in again many cases those multi-location and larger enterprise customers that’s where our direct sales team is typically focused. We’ve got very, very little channel conflict; in all cases, we’re supporting our partner channel out there to continue to increase and help grow that channel.
Kevin Dede: So, on the product revenue side, sales were off year-over-year, I was just wondering if we could talk to that a little bit from a seasonality perspective, from a new equipment introduction perspective, or new equipment release schedule perspective?
Doug Gaylor: So, if you look at revenues, I mean sales -- new sales bookings continue to increase and our overall revenues are up. If you look at our overall revenues, telecom is up 8% quarter-over-quarter. You will notice that web services division is continuing to solely have attrition. So, we’re still supporting all those web customers but all the growth is going to be in telecom going forward. We don’t see a lot of seasonality in our industry. I mean, customers that are using telecom equipment, they’re using it whether it’s hot summer time or the cold winter time, and every other day in between. So, we don’t see a lot of seasonality in our business. We do see a little bit of spikes here and there, but that’s really just due to typical business variances. In the middle of summer time, you might have decision makers that are taking a week or two off, but that’s not going to affect us overall from a consistent perspective. So, we’re constantly out there in front of our customers. The reality is, every business out there has got a telephone system and 75%, 80% of them still today are still using legacy premise-based equipment. So, there’s lots of opportunity for us to continue to expand and grow as more of these customers migrate from the traditional premise-based to the cloud.
Kevin Dede: I guess, Doug I was hoping you could peel the onion back just a little bit deeper and look at specifically equipment, the telecom equipment. It looked to me like that line item was down year-over-year, and I was just wondering if that might be tied to release schedule.
Doug Gaylor: Yes. So, you were talking about hardware versus services. So, as we look at our revenue, most of our revenue is coming off of the services. The hardware, it’s not necessarily seasonal or releases -- our hardware platform is pretty rock solid today. What we do notice is that if we have a large installation, we don’t take revenue on the hardware side until the job is completely installed. So, if we have a large job where we can’t take full revenue on it for the quarter, we don’t take any revenue on that equipment side. And so you’ll see some fluctuations there, if large job pushes for some reason from one quarter to another quarter. But the hardware component is a small, much smaller component than obviously the monthly residual.
Steve Mihaylo: Yes. There’s another thing that’s driving that, Kevin. I think last year at this time, we had one or two significant deals that pushed the hardware up a little. Another thing is, we’re bringing our hardware cost down, and our sales price of the hardware is coming down at a little bit slower pace. The long and the short of it is, we probably have the best margins of any company on the planet in our hardware because we control both the hardware and the software. And everything else, the recurring is all software revenue that’s being charged a month at a time instead of upfront, like you would in a premise-based system. So, we’re transitioning to the point where we’re almost 100% software or communication as a service company as opposed to a normal company that sells hardware, software and boxes and all of that stuff. We’re becoming a pure services company.
Kevin Dede: Well, thanks Steve for the detail and actually kind of a good segue to my next question which is about the ShoreTel and Mitel tie-up. I was wondering if you think that might change competitive posturing, if that might give you an opportunity to work with larger partners, and maybe it’s too early to tell but I was wondering if you had any insight on that.
Steve Mihaylo: Actually Doug will be able to answer that better than me. But from my standpoint, it’s net positive for Crexendo. And I’ll let Doug explain why.
Doug Gaylor: Yes, I think it’s truly a net positive for us. I think that the acquisition of those two or the acquisition of ShoreTel by Mitel is going to create a lot of opportunity in the industry. There will be a lot of chaos associated with that integration of those two organizations, I mean two large organizations that have a very, very, very similar footprint. And so there is a going to be a lot of overlap. The traditional marketplaces where you saw Mitel dealer and a ShoreTel dealer, those dealers were typically very competitive with each other, now that they are going to be overlapping in each other’s own product offerings, it’s going to lead to a lot of unhappy partners out there. And so, we’ve already reached out and already been contacted by quite a few partners on each side that are now looking for maybe another alternative. Because if they were hailing Mitel and now they got the Mitel and ShoreTel in there, now the ShoreTel dealer’s going to be able to sell to Mitel, and the Mitel dealer is going to be able to sell the ShoreTel. So, it’s going to create a lot of uncertainty in their minds. And so, if they are looking for stable ground, Crexendo is that stable ground. So, we are excited about that merger because as with any merger, it’s going to create some distractions out there for both of those organizations, so that they can get their future locked and loaded. And so while that distraction and while that chaos is happening, we are going to take full advantage of it.
Steve Mihaylo: And you can only imagine what it does to morale and a lot of other factors involved, there is going to be an awful a lot of partners that are going to say, do heck with it, and they are going to look for a better solution. And we think we have got the better solution.
Doug Gaylor: And they are talking about $60 million worth of synergies in the first year alone, and that means a lot of good employees that might be looking for alternatives. And so, we are always looking for adding good additional talent to our team. So, I wouldn’t be surprised if you us getting a lot of interest from Mitel and ShoreTel employees as they look for alternatives out there.
Kevin Dede: Last question for me gentlemen. Backlog was up 7% sequentially and 17% year-over-year, if I heard you correctly. I was just wondering what that hard number might be, if you are offering it.
Steve Mihaylo: I don’t know what hard number you are talking about, but on the telecom side Kevin, I think we were up 27 or 28%, year-over-year for the quarter. And as I mentioned before the web services, continues to shrink. And eventually at some point in time, maybe the next two or three years, we expect it to go to zero, in which case, we won’t have that boat anchor slowing down sales. I’m going to let Ron Vincent talk about this one. But, our growth rate in the telecom side is closer to 27% or 28%. Is that correct, Ron?
Ron Vincent: Yes. Telecom backlog at 6/30/2017 is $18,045,000. The backlog at June 30, 2016 was $15,434,000 and at March 31st of this year, it was at $16,888,000.
Steve Mihaylo: The bottom line, Kevin, is, both sales are going to start to accelerate, profits will accelerate, gross margins will accelerate. And we intend to manage our costs very, very tightly. Whether or not we can continue to reduce them is probably difficult, given the fact that sales and margins are increasing at such a rate. But, the costs are always going to go up at a much slower rate than our sales and margins do.
Operator: Thank you. [Operator Instructions] We’ll take a question from Kevin O’Connell [ph] with Crexendo.
Steve Mihaylo: Kevin, I realize you put down Crexendo on the call but you’re actually a private investor, it’s my understanding, because we don’t -- we’re not paying you, you’re one of our shareholders.
Unidentified Analyst: That’s right, long time shareholder. So, really good job on the quarter. Here’s my question. So, you start to go out to some of these conferences, and presumably as the story gets better, you’re going to get more-and-more institutional interest. What do you think the pathway is to graduate to a national exchange, and….
Steve Mihaylo: I’m glad you brought that up, because my goal -- and we may miss it by a quarter or two, but my goal would be back -- to have the company back on a national exchange by the end of next year, either the NASDAQ or the New York Stock Exchange. But as you know, there’s very stringent requirements and we should be able to meet those requirements by the end of next year.
Operator: Thank you. We’ll take a question from Michael Bell. [Ph]
Unidentified Analyst: Hi, Steve; Hi, Doug. Great to join you on this conference call and good to see that everything is moving forward with Crexendo. One question that I had, which the other listeners may have an interest in, is that you’ve built most of your infrastructure yourself in comparison to other cloud providers out there who are using AWS or other companies that are providing such services, and these companies typically really invest a lot of time and resources and manpower in the security of their platforms So, in the case of Crexendo, since you’ve pretty much built it all yourself, how are you prepared to take on security breach which now is really increasing these days to the Crexendo cloud platform?
Steve Mihaylo: Believe it or not Michael -- and that’s a great question. Believe it or not, we’ve actually been designing the software now for eight years and we’ve deployed it for about 5.5 years and during that period of, time most of the security issues are in your Session Border Controller. We’ve proudly done about 8 or 10, maybe even 15 updates on the Session Border Controller to address that issue alone. We think we’ve got some of the tightest security in the industry and we’ll continue to update the software and write algorithms that address that problem. But I’ve very, very confident that our services is good if not better when it comes to security than anybody else out there in the market. And maybe Doug, you’d like to add something to that.
Doug Gaylor: Yes. Our network operation center is constantly monitoring everything that’s going on, on our network where we have any denial or service attacks, and we’ve got proactive measures in place to identify and prevent those from happening. They’re happening out there to our network and to everybody’s network constantly. I mean, it’s amazing when you read the statistics out there about potential penetrations, but we’ve been phenomenal at making sure that those don’t affect our network, extremely, extremely proud of our 99.9999% uptime. And so, we continue to monitor and measure our network. And the encryption and security that we have in place today, as Steve said, is extremely robust and gives us good reason to know that we’re not going to be vulnerable in the future.
Steve Mihaylo: This is just a little side bar, Michael, but we’ve multiple carriers coming into our building here and they’re coming from different sides of the building. I don’t know if you remember it, but about four, five, six months ago, Level3, which is one of the one of the biggest carriers in the world had a catastrophic failure and they’re one of our carriers. But, none of Crexendo’s customers experienced any outage at all, because of the way we’ve arranged our network. And that’s just a small example of how we shine compared to our competitors.
Operator: And there are no further questions in queue, sir.
Steve Mihaylo: Well, it looks like that’s it for today. I might also add that this conference call went about 20 minutes longer than last conference call. So, that shows you guys are paying attention out there. And we appreciate all the questions, we appreciate you’re being on the call and we look forward to speaking with you next quarter as we will have even better news, I’m sure next quarter. Thank you everyone and good day, have a good evening.
Operator: That concludes today’s conference, and thank you for your participation.